Operator: Good morning and thank you for participating in today's conference call to discuss Daseke's Financial Results for the Second Quarter Ended June 30, 2021. With us today are Jonathan Shepko, CEO; and board member Jason Bates, EVP and CFO; and John Michell, VP of Treasury and Investor Relations; and Chuck Serianni, Board Chairman. After their prepared remarks, the management team will take your questions. As a reminder, you may now download a PDF of the presentation slides that will accompany the remarks made on today's conference call as indicated in this press release we issued earlier today. You may access these slides in the Investor Relations section of our website. Before we go further, I would like to turn the call over to John Michell, VP of Treasury and Investor Relations, who will read the company's Safe Harbor statement within the meaning of the Private Securities Litigation Reform Act of 1995 that provides important caution regarding forward-looking statements. John, please go ahead.
John Michell: Thanks, Kaleen. Please turn to Slide 2 for a review of our Safe Harbor and non-GAAP statements. Today's presentation contains forward-looking statements as within the meaning of the Private Securities Litigation Reform Act of 1995. Projected financial information, including our guidance outlook are forward-looking statements. Forward-looking statements including those with respect to revenues, earnings, performance, strategies, prospects and other aspects of Daseke's business are based on management's current estimates, projections and assumptions that are subject to risks and uncertainties that could cause actual results to differ materially from our expectations and projections. I encourage you to read our filings with the Securities and Exchange Commission for a discussion of the risks that can affect our business and to not place undue reliance on any forward-looking statements. We undertake no obligation to revise our forward-looking statements to reflect events or circumstances occurring after today, whether as a result of new information, future events or otherwise, except as may be required under applicable securities laws. During the call, there will also be a discussion of some items that do not conform to U.S. Generally Accepted Accounting Principles, or GAAP, including but not limited to adjusted EBITDA, adjusted operating ratio, adjusted operating income, adjusted net income or loss, free cash flow and net debt. Reconciliations of these non-GAAP measures to their most directly comparable GAAP measures are included in the appendix to the investor presentation and press release issued this morning, both of which – which are available in the Investors tab of the Daseke website, www.daseke.com. In terms of the structure of our call today, we will start by turning the call over to Daseke's Board Chairman, Mr. Chuck Serianni, which will provide some comments on the recently announced appointment of Jonathan Shepko as Daseke's permanent Chief Executive Officer. After which Jonathan will review our business operations and the progress we are making as we execute against our key strategic priorities. Jason will then provide a financial review of the quarter at which point Jonathan will wrap up our remarks with a few closing comments before we open the line for your questions. With that I will hand the call over to Mr. Chuck Serianni.
Chuck Serianni: Thank you, John, and good morning everyone. This morning, we announced that Daseke's Board of Directors has appointed Jonathan to the CEO role on a permanent basis. The board has spent the last several months conducting a comprehensive executive search process, interviewing and vetting numerous prospects in order to identify the best – the candidate best suited to lead our organization through the next phase of its development. After taking the appropriate time to evaluate the needs of our organization, we concluded that Jonathan was the right person to lead us forward with the priority of driving further operational improvements across the organization and executing against our growth strategy. As you know, Jonathan has been pairing the interim title since the beginning of the year. He has more than that the board's expectations since dutifully stepping into the role. In fact, the board was able to undertake a much more paced and diligence search because of the success as Jonathan and the rest of the executive team were achieving. Ultimately, it did become clear through this several month process that Jonathan carried not only the necessary and complementary skill set that best aligns with our strategic direction and priorities, but also the added benefit of maintaining continuity. These factors, which combined with his native insight into our business operations, will be a significant value as we continue to execute our operational transformation. Jonathan has been a director at Daseke since we began trading publicly in early 2017 and he has a depth and breadth of knowledge around our business operations in strategy that is unparalleled. He brings extensive professional experience in capital markets, debt and equity financing and direct investing. For those of you that are new to our story, Jonathan also served as Chairman of a special operating committee that played a critical role in constructing and overseeing the tactical pivot that allowed for our operational transformation and the improvement to our operating and financial results. Additionally, as chair of the committee, he helped to lead the resetting of our strategic and tactical priorities that the company committed to and executed against in 2020, which took place in the middle of a global pandemic that introduced significant volatility into the broader economy. Daseke emerged from that transformation and the pandemic as a stronger entity that is much better suited to achieve sustainable long-term growth. And Johnathan demonstrated his leadership qualities playing a very meaningful role in working with our team to bring that to fruition. More recently, his experience and expertise were leveraged as the company successfully executed a refinancing transaction as part of our larger balance sheet restructuring efforts, a key strategic win for us earlier this year. Jonathan will continue to be supported by a very strong bench of talent across our executive leadership team as well as by the numerous industry veterans we have at each of Daseke's operating companies. It's important to reiterate that as we continue forward on our path, Jonathan's form of appointment to the role is not indicative of a change in our key priorities and overall strategic direction and – but we are still completing additional stages of our operational transformation. We had made significant progress. As our company now begins to look towards a new phase of accretive of growth, our board firmly believes that Jonathan is the right leader to complete Daseke's continued transformation to becoming a truly world-class company. With that, I'll turn the call over to Jonathan.
Jonathan Shepko: Thank you, Chuck. Good morning everyone. Let me add how excited and humbled I am to accept the position as permanent CEO of this great organization. We are the largest flatbed, specialized transportation and logistics solutions company in North America. We've made tremendous strides in our transformation over the last two years. We still have significantly more opportunities to take advantage of before achieving a level of operational excellence that our team believes is possible for this organization. We've also begun to identify and plan initiatives that will drive long-term profitable growth and I believe our approach to accomplishing these objectives is sound. As Chuck highlighted, we have an incredibly talented team here at Daseke and together we have a unique opportunity to leverage our platform to build a larger, more efficient and more profitable business that will drive significant value for all of our stakeholders. And I'm looking forward to leading this team and continuing to develop all the emerging leaders we have across the organization. With that let's please turn to Slide 4 that will outline a few of the notable takeaways from the first quarter. Daseke delivered very strong operational and financial performance in Q2, setting numerous quarterly records from an 88% adjusted operating ratio to adjusted earnings of $0.42 per diluted share. We spend a of time speaking with you all about the uniqueness of our business model, which offers a diversified portfolio of end markets and customers, and serves as a proxy for the performance of this country's industrial standing. While the portfolio effect across our business serves to naturally smooth out periods of volatility, the true force multiplier shows when markets are experiencing more normalized demand like we've seen thus far in 2021. Our business model, which combines a fleet of company-owned trucks with our network of owner-operators, puts Daseke in a unique position to capture meaningful benefits by strategically concentrating the deployment of our assets and resources into the corners of markets where our capabilities are most valued and the competitive landscape is most favorable. With the close of the second quarter of 2021, we offer up for you a very compelling case study and the value proposition of our model, which provides for solid performance across market cycles. On the one hand, you have 2020, the doldrums of the global pandemic, where we demonstrated solid absolute and relative performance. We proactively implemented aggressive cost control measures, focused more intensely on operational improvement efforts and reposition our assets away from softer end markets into end markets that were less impacted by the prevailing economic struggles at the time, such as wind and high security cargo, all of which enabled us to post sequentially improved financial results while most industries were struggling. In contrast with 2020, 2021 has provided an environment, which many of our markets have dramatically rebounded resulting in a return to stronger freight rates and higher margins and we continue to believe we have again traded extremely well because of the complement of our balanced end market exposure and depth of operational sophistication. It's very easy for companies to lose focus on execution and service when times are good, but our team aggressively pursued this environment with the intention of outperformance. Despite the increased rate environment, neither our customer service nor our operational KPIs were compromised. Our team rallied to leverage our ongoing business improvement initiatives combined with an operating rate environment with manufacturing and construction adjacent verticals leading the way, which collectively resulted in record performance for our shareholders. In terms of our specific results for the quarter, we drove revenue of $404 million, which was up 15% year-over-year and adjusted EBITDA of over $69 million, an increase of 58% versus Q2 2020. As we said in the past, we're committed to improvements in our business that driving earnings portion of the EBITDA equation and success here is evident in our operating income performance. I think it's important to note that we've seen strong market backdrops before, most notably in 2018 when there was a similarly strong environment. But historically during these times, Daseke had struggled to convert the strong top-line performance into profitable returns. As discussed earlier though with our emphasis on decisive execution, this current environment only underscores the transformational impact of the operational and integration measures we have completed over the last two years. Our operating ratio results, which is 88.8% or 88.0% on an adjusted basis, showed that we were able to engage the environment in an operationally efficient manner. Our operating income of $45.3 million and our free cash flow of $32.3 million demonstrated our ability to deliver strong company profits to our stockholders. And after completing our refinancing transaction earlier this year with closing quarterly leverage of roughly 2.4 times, our balance sheet remains a point of strength that will afford us with strategic flexibility to support our long-term growth objectives. Before turning the call over to Jason to talk through our financial performance at a more granular level, I want to take a brief moment to address the state of our markets. Our business performance in the first half of the year has been supported by the improving economic environment across the broader industrial economy and strong demand combined with high capacity has led to a healthy recovering rate environment. Our business services have looked through specific niches within the industrial economy. More broadly all markets tend to exhibit downside correlation in periods of declining aggregate demand like we saw during the pandemic last year. However, in contrast to many markets served by the broader freight and transportation industry, many of which are starting to exhibit signs of a modest slowdown. We believe our open-deck segment isn't a materially different economic up cycle. Demand outlook remains positive and even improving and capacity in the market remains tight. Well, we are certainly encouraged by the reflation of our end markets; it has been our demonstrated ability to effectively execute our strategy into these economic tailwinds that has provided the real value for our stockholders. To that end, I would hope that this quarter's wide margin records across the board serve as a comforting benchmark from which to gauge the fundamental change this company has undertaken as well as the depth of our operating talent. In light of this performance and the current four end markets, we are raising our full year outlook for both revenues and adjusted EBITDA which Jason will give further detail on later during this call. With that, I will now turn the call over to Jason Bates to review our second quarter financial performance. Jason?
Jason Bates: Great. Thank you, Jonathan, and good morning everyone. If you please turn with me to Slide 5, we'll have a high level review of our consolidated results for the second quarter. As Jonathan mentioned, our results are a strong testament to Daseke's ability to execute into an improving market backdrop. This quarter we continue to see a strong uplift in construction and manufacturing related verticals, which has seen growing momentum since the beginning of the year. This has been a key contributing factor to the recovery in freight environment, particularly in our flatbed business. As Jonathan mentioned, in the second quarter, Daseke delivered revenues of $404 million, up nearly 15% compared to revenues of $351.7 million in last year's second quarter. On this slide, we've done – as we've done in the last few quarters, we provide a consolidated view of our performance inclusive of the Aveda business on the left side with a snapshot pro forma for the divestiture of this business on the right side of the slide. As most of you know, we divested the Aveda business last year and we believe that financial details in the table on the right-hand of the slide provides for more relevant apples-to-apples comparison. And is reflective of how management thinks about the business and mark and makes decisions. Excluding Aveda, our consolidated revenues were up by more than 18% year-over-year. We noted last quarter that our revenue performance had begun to pull more closely in line with where we would have expected to be absent the pandemic and this sentiment reign true across the second quarter as demand reflected in improving industrial end market. Excluding Aveda, the team delivered adjusted net income of $30.2 million or $0.42 per diluted share in the quarter, Daseke quarterly record. Adjusted EBITDA of $69.4 million grew by more than 51% compared to the second quarter of 2020 after excluding Aveda due to continued positive traction and momentum associated with our business improvement plans, coupled with improved freight rates and volumes in the Flatbed segment. At the combined operating segment level, our consolidated adjusted EBITDA results of $74.6 million were up nearly 40% versus results of $53.4 million in last year's comparable quarter. This EBITDA growth is particularly notable as it has more than overcome the normalization of what were unusually high margins associated with our wind energy project revenues in the year-ago, period. I would also like to highlight that while many of the – in the industry have cited concerns over driver recruitment and retention, we are pleased to report that our driver turnover remains significantly below industry averages. This phenomenon highlights the excellent work our team has done in making each of our OpCos and attractive work destination for our driving professionals. Where we focus on getting the miles, getting them paid and getting them home safely, and on time. We will continue to monitor the situation closely, but are very encouraged by the overall performance throughout our organization as we all remain focused on taking care of our driving professionals. Finally, I'd like to take a moment to highlight the progress we've made on reducing the corporate overhead burden on the operating companies, as evidenced by a 44% reduction in this expense category. This was achieved through reductions in various corporate expenses, augmented by benefits from our Daseke fleet services and insurance entities out forming expectations. With that, I'd like to walk you through a detailed view of our results at the operating segment level. On Slide number 6, we present our specialized segment results. However, in an effort to maintain comparability and consistency with our business going forward, we also present the specialized segment results exclusive of the impacts of the divested Aveda business, which is displayed on Slide number 7. Specialized segment revenues excluding Aveda were $226.1 million, up nearly 7% versus the prior year driven by strong operational execution that offset the lower fleet size and the mix shift away from the aforementioned wind energy project revenues from the year ago period. Our solid execution and the impact of operational improvements and integrations was further evidenced by the improvement to the specialized segments, adjusted EBITDA and EBITDA margins, which were up 21.6% and 230 basis points respectively versus last year second quarter. This is particularly notable given the marginal increased rates as rate per mile for the segment of $3.12 grew by only 2.3% compared to $3.05 in the second quarter of 2020. Again, this year-over-year rate increase appears pedestrian, but as attributable to the unusually strong rate environment stemming from the COVID impacted supply chain in this segment, back in 2020, it's clear that our operational work and fleet right-sizing, which was done to drive enhanced utilization of our assets and better optimize our business has made a significant impact in that segment as evidenced by the revenue protractor results of 66,700 versus 59,400 in last year's second quarter. And again, this was despite the mixed shift away from the wind energy business that was unusually strong in the year ago period. Lastly, the segment's operating ratio improved 300 basis points to 87.1% with the adjusted operating ratio coming in at 86.5%. On Slide number 8, we detail our Flatbed segment results for the quarter. We generated flatbed revenue in the second quarter of $180.9 million, which increased 32% from $137.2 million in the prior year quarter. And as Jonathan noted, we have been able to capture the upswing in demand across a number of industrial end-markets served by our flatbed business, where this improving demand backdrop combined with our business improvement initiatives has translated into profitable results. Flatbed demand across the broader industrial market continues to improve with each sequential quarter, and we are happy to see a rebound to near pre-pandemic levels. This phenomenon was a key contributing factor to a robust rate environment in the quarter in which we were able to realize a nearly 39% year-over-year increase in our rate per mile. This was additionally reflected in revenue of 55,500 per tractor metric, which grew by more than 38% from 40,100 as the more efficient fleet operations captured those improving market rates. The segments adjusted EBITDA results of $32 million grew by nearly 57% compared to the results of $20.4 million in last year's second quarter. This stronger adjusted EBITDA performance help the segment secure EBITDA margin growth of 280 basis points expanding to 17.7%. Finally, the segment's operating ratio improved 490 basis points to an 87.3% with the adjusted operating ratio coming in at 86.8%. Turning to Slide 9, I'll take a moment to speak about our cash flow performance and provide an update on our full year outlook. Through the second quarter, Daseke has generated $58.1 million in cash from operating activities. Cash CapEx with $18 million, and we collected cash proceeds from the sale of equipment of $26.6 million, this resulted in free cash flow generation of $66.7 million year-to-date. CapEx finance with debt or capital leases had total $29.2 million bringing in net after financing of $37.5 million. Earlier this year, we announced the Daseke's Board of Directors had authorized the share repurchase program of up to 3 million common shares in conjunction with the shareholder cooperation agreement entered into at the conclusion of 2020. I would like to share that at this point in time; we have successfully executed upon our commitment and have completed the 3 million share repurchase. The total aggregate price paid for the 3 million shares was $20.4 million or $6.79 average price per share. Having completed the three purchase activity in accordance with our shareholder cooperation agreement, as always, we will continue to evaluate the available options for capital allocation and we'll pursue the options that we believe will drive the greatest amount of shareholder value creation. On the right hand side of Slide number 9, you will see a snapshot of our updated outlook for the year. Although we do anticipate continued industry-wide cost pressures in the form of driver recruitment and retention, equipment acquisition, as well as insurance and other general expenses into the foreseeable future. Given the strong revenues and adjusted EBITDA performance halfway through the year, the ongoing realization of our business improvement initiatives and our positive view towards market fundamentals for the remainder of 2021, we are raising our guided outlook for both metrics. We now expect revenues to range between $1.5 billion and $1.6 billion, up nearly 7% at the mid-points from our initial guidance range of $1.4 billion to $1.5 billion. Additionally, we now expect to generate between $200 million and $210 million in adjusted EBITDA, which represents more than 20% increase at the mid-points relative to our prior outlook of $1.65 million to $1.75 million. To be clear, the affirmation cost headwinds are considered in this earnings outlook. Further we are not increasing our 2021 CapEx outlook at this time. However, given the strength in the used equipment market, we would expect to come in several million dollars below our previous net CapEx guide. So that fact combined with the substantially increasing adjusted EBITDA outlook I just referenced will help drive meaningful improvements to our free cash flow generation for the year, a trend we hope to continue to build upon. So with that, I'll hand the call back over to Jonathan to offer a few final thoughts. Jonathan?
Jonathan Shepko: Thank you, Jason. I'll conclude our prepared remarks on Slide 10, where we provide a snapshot of our near-term priorities. Or you've heard us mission many of these points over the last few quarters, over the coming quarters, as we begin to shift from planning to execution; we will be in a better position to provide you all with more specifics and visibility around our continued value add initiatives. That said let me now take a few minutes to provide a slightly more refined glimpse into our key priorities for the next several quarters. First, we will continue to institutionalize the platform. We believe technology is one of our biggest opportunities for improved profitability, with the ultimate goal of using differentiated technology and unmatched scale to position us with a sustainable competitive advantage, longer-term broader technology enabled and across the organization will continue to be a strategic mainstay. In the near-term, however, our initial focus will be on standardizing our back office systems, standing up a centralized data repository that leverage best-in-class analytics solutions to transform the vast amounts of data we receive across our platforms into actionable initiatives and standardizing our TMS offering across our OpCos to ensure coordination, continuity and constance. In tandem with these initial systems enhancements as mentioned on our last call, we will continue to seek efficiencies through continue to rationalization of our 11 operating companies streamlining back and mid-office functions across the organization with, while creating shared service centers to drive additional efficiencies. I'd be remiss not to point out however that preservation of the front office, driver and customer facing functions along with brand continuity will be sacrosanct during these integrations. The pedigree of OpCos brands that we have assembled as well as their drivers and our customers are the lifeblood of our business, preserving their standing in the market, their ability to leverage their will healed relationships with customers and their longstanding culture and reputation within the driver community is something we believe makes us and them special. These initiatives are all intended to provide an environment with the people, the systems and the processes necessary to function as a single network or consolidated fleet, lending the benefits of a larger fleet while preserving the benefits of the regional carrier. This will allow us to finally realize efficiencies in the back and mid-office or provide for front office synergies that will drive better top line through efforts, such as network optimization and coordinated strategic sales. And finally, we'll alarm our team with a usable data, analytics and insights to make real time or five minutes to our operations. Next I'd like to spend some time discussing our focus on growth. One of the most potentially noteworthy takeaways from our call today could be the first bullet of this section. As we think about growth prospectively, we will approach strategic decisions with the objective of building strategically relevant footholds by end market, versus simply looking to agnostically a mass open desk scale. While today we serve many of the end market verticals that we will ultimately be targeting. Our emphasis will be on building sustainable, industry leading positions in each of these niche markets. Additionally, we will be looking to build capabilities and scale in industry verticals where trailer configuration could look different than our open deck staple. Examples of these end markets would be pharma life sciences, which would involve expanding our today limited fleet of reefers and specialty chemicals, which would involve adding to our modest fleet of tankers. An interesting fact for those unfamiliar with our end market composition, today, more than 10% of all freight moved by Daseke OpCos is comprised in trailer types that would not be capable of handling the traditional array of open decker flatbed cargo. Examples of such freight includes' high security cargo, industrial waste, commercial explosive, drainage intermodal, and munitions. Fundamentally, we were looking for end markets wherein among other things we have the ability to select and hybrid our customers, provide critical scale with capacity, provide highly differentiated and or highly specialized capabilities, fleet strategies, or know how. These markets would have high barriers to entry with defensible segmentation. And we'll also provide diversification characteristics to support further – to further in support and all weather non-correlated portfolio approach. All of which we believe will come with the added benefit of higher margin loans. This will be a nuanced shift away from a trailer centric strategy to one that targets favorable industrial end markets. And to be clear while this isn't necessarily a change in our overarching strategy, it's an opportunity we are taking to reset how we think about driving growth and improving profitability for our shareholders; only now with a much more targeted focus and intensity that underpins our strategic and tactical priorities. Now then with respect to strategic growth, we will look for opportunities that position us to develop or sustain an industry leading foothold in the end-market verticals we have identified. These may be traditional tuck-in acquisitions of competitors or vertical integration opportunities that provide expanded capabilities for the benefit of our customers. We're also excited about a number of highly impactful organic growth opportunities in front of us as well from continued build out to third-party brokerage platform or a dedicated fleet offering to leveraging the relationships and the requests from our customers to build out capabilities, to service new end markets. Our team is working hard to prioritize these opportunities, creating go to market, play books, to best delineate the approach to execution. And this brings us to the final strategic priority to execute decisively. As most of you know, Daseke was formed through the acquisition of a series of operating companies. When I look at the OpCo talent that Daseke has around the table, it's clear to me what differentiates us from our peers. We don't have regional ops or terminal managers running our operating subsidiaries, we have CEOs tried and improve multi-generational trucking executives running our OpCos. These are teams that have been through the cycles. They are proactive operators. And without a bunch of oversight, without a bunch of convincing from corporate, they've already made the decisions and pulled the necessary levers to optimize the respective operating models given the prevailing winds at the time. For our executive team, it's about providing these OpCos with the right framework within which to optimize our business, to ensure they are collectively performing as a unified network, providing the right systems to facilitate access to insightful and timely data and providing the right strategic direction to help our teams understand what we are all striving for here at Daseke. We've provided a lot of context on this next point over the last few quarters, given our diversified industrial end market composition as well as our blended asset heavy and asset light capabilities, we were able to approach distinct market environments opportunistically, repositioning assets the highest and the best use freight opportunities and managing our fleet composition while leveraging our ability to recruit and retain drivers by balancing asset heavy and asset light strategies. Finally, the last bullet, maintaining open and frequent communication with our customers. The reason we're all here, our customers. Daseke is fortunate to work with some of the best shippers in the industry and in times like this we prioritize our longstanding relationships over maximizing rate because we know that we will inevitably be on the other side of the table one day, but most importantly because we value the partnerships we have with our customers, some of which has been in place for several decades. Going forward, we will look to be much more engaging with our customers, looking for ways to provide additional services, including additional pre-transport or post-transplant capabilities, if needed, looking for ways to provide additional capacity through dedicated and private fleet offerings, looking for ways to provide greater leverage and their supply chains via through integrated technology solutions or strategically located terminals or yards, looking for ways broadly to service our customers better. This concludes our prepared remarks for today's call. But before we go to your questions, I'd like to quickly highlight a shift in our prior expectations to host investor call day – Investor Day in the fall, given all the heavy lifting and work I just outlined regarding our near-term priorities. We'd like to get through some of that work before we outline our three to five-year goals and a deeper dive event. So we're shifting – so we're going to shift the timing of that event to the first half of 2022. We will host the event in New York City and hopefully the shift in timing will allow us to see many of you in-person as opposed to doing a virtual event. We're looking forward to it and to executing against these near-term priorities over the second half of 2021. So, Kaleen, we'd like to move into the Q&A session now.
Operator: Thank you. [Operator Instructions] And our first question coming from the line of Jason Seidl with Cowen. Your line is open.
Jason Seidl: Hi, thank you, operator. Good morning everyone. Jonathan, congratulations, by the way. Wanting to dig in and talk a little bit about sort of 2022 as we look out there's an infrastructure bill that has some bipartisan support. It looks like – it's getting more favorable presently started getting done. Could you talk a little bit about how that could impact your results in 2022? I'm assuming it's going to be mostly on the flatbed side. And maybe what we should expect in terms of – if it got passed, let's say, this year when we should expect any impacts from?
Jason Bates: Yes, Jason. Hi, good question. So, I mean, I think all of us were watching this pretty closely. It's evolved even over the last six months or so with regard to the size and the complexity of that bill, there's no question. I mean, your point is valid. There's no question that our end market exposure would definitely stand to benefit from any type of infrastructure bill that comes to fruition. Given the absence of firm details on that, it's kind of hard to project exactly what that might mean, but I think it is – for us specifically, but I think it's safe to say that that's something that we're hoping to see and to the extent that it does come to fruition would definitely help elongate, what's been a pretty constrained supply demand environment, which gives us the opportunity to try to position ourselves in the best way possible for our customers and our shareholders. And so, it's something we will definitely be watching closely and to the extent that it were to get passed later this year, it would really depend on what the ramp period looks like for that bill, right. And that's – so there is a lot of uncertainty there, but rest assured that given our end market ties, it would definitely be a good thing for us.
Jason Seidl: Okay. And do you think you'd have more near-term impact in the flatbed division or the specialized division?
Jonathan Shepko: Yes, I think, Jason, it's going to be flatbed. And again, we've only – we've only heard – it's newer around this $1 trillion bill, but it largely looks to address traditional infrastructure. But it's 2,700 page bill that just came out last night. So, I think, we're going to [indiscernible] there is no versions of that. But if – I think you've got still some issues with the attempt to couple it with the reconciliation bill. But if and when something does pull through, as Jason said, it does overlay well with our end markets and we're absolutely well positioned to benefit. We expect that it will certainly extend the runway of a favorable rate environment.
Jason Bates: Yes, and to your question about flatbed versus specialized, well, there is no question that the flatbed would definitely benefit from that. There are different OpCos within our flatbed division that would also stand to benefit from some of the phrases that would move there…
Jason Seidl: Specialized…
Jason Bates: Sorry, what did I say?
Jason Seidl: I knew what you meant, Jason. I want to ask one more sort of generic question. I have a couple easy ones for you, Jason. Jonathan, I think you mentioned about sort of a build-out of your third-party brokerage capabilities. Could you give us a little more meat on that? And I'm assuming – is that going to be in both divisions because obviously you had much more of a growth in the brokerage portion of your flatbed, but then you're doing your specialized.
Jonathan Shepko: Yes. I mean, look, this quarter, as we said, we got to kind of pre-pandemic revenue levels within brokerage right around $60 million for the quarter. So, historically, we've been right around $240 million, $250 million of revenue, against the consolidated revenues of $1.5 billion. So, lots of opportunities to kind of bolster our asset light capabilities. One of the things that we haven't done a good job of is, is really coordinating and really kind of centralizing the asset light capabilities within and across our operating companies and part of that's been really, I think, a lack of strategy and a lack of direction and a prioritization to do so. And part of that's been with not having the right technology platform in place. And so one of the things we're working on right now, we've mentioned the last few quarters is, is getting the right technology platform in place. We're working on an internal and extra load board. We've got kind of the makings of an external facing load board right now, but we're also – and have invested a bit in internal technology to facilitate a better kind of internal and third-party brokerage capabilities. And it's really coming up with the philosophy internally for the OpCos to execute on. I think a lot of them use brokerage as kind of a release valve. And I think that we're thinking about how do you use that across market cycles to really kind of flex up and down from kind of a revenue standpoint, take better advantage of opportunities like this. And then when things soften, you take it – you would take – you'd take those additional loads of additional relationships that you built in better times, and redeploy those loads against your company truck. So it's really thinking about strategy, getting everyone on the same page internally about what third-party brokerage should look like and then underpinning it with the right technology solutions to execute on that strategy.
Jason Seidl: And Jonathan, that's great color. Can I just give two more quick ones for Jason? They should be easy. How should we think about gain on sale going forward and coupled that with your CapEx outlook? And then kudos to completing the share repurchase program. And I don't know if I missed this, but have you guys announced a new one yet or any plans to?
Jason Bates: Yes, so on the first question we actually debated internally about giving kind of a revised CapEx guide, but the difficulty is exactly what you just highlighted is the used truck or the used equipment, it's not just trucks, the used equipment market has been very volatile over the last 18 to 24 months and it's difficult to predict. And so as of late, it's been pretty strong and we don't see that slowing down in the near-term, but you've been in this industry just as long as I have, if not longer than I have and you know it can turn on a dime. So that's the one caveat. That's a little tricky for us. We're – as a general model, we kind of look at where it's been recently and we kind of project that forward. And so, that's how we're thinking about it right now. So for modeling purposes, I think that's probably as good of a bet as any for you guys as you think about how to model that going forward. We do anticipate that just what we've seen already and assuming that there is not a material deviation to kind of the trend that we've been seeing there that our net CapEx will come in lower than we had anticipated, which is going to generate incremental free cash flow in the year. And we're taking a really hard look. I mean, I know you didn't ask this question, but I'm going to go ahead and take the opportunity. We're taking a really hard look at CapEx as an organization. We have identified a lot of opportunities where maybe we aren't being as efficient at deploying that capital when you look at kind of the OpCo structure that we historically had as we get to a point where we have more visibility and better communication across those platforms in the form of data and just communicating with each other. We can maybe more efficiently utilize what we've gotten and be able to generate similar levels of revenue and profitability or improved levels of revenue and profitability without a significant or upsized capital deployment requirement, which would only further expand that free cash flow capability. So we're pretty encouraged at some of the opportunity that we're identifying as we're undertaking this exercise. And that's something we'll be looking forward to giving you guys more color as Jonathan alluded to here over the coming quarters as we further refine that kind of three to five year strategy and plan. So, hopefully, that answers the first question there. The second one with regard to the share repurchase, we do not have any current plans for incremental share repurchase, but it will be at top. We have our board meeting later this month. And I'm sure as is always the case just from a capital deployment, there is three or four key ways to deploy capital and we're going to look at each of them, right, whether it's debt reduction or share repurchase or dividends or M&A, we're going to take a look at all those and figure out, which one makes the most sense for our organization as we move forward. We've alluded to in prior quarters that our intent is not to unnecessarily have hundreds of millions of dollars just sitting on the balance sheet. We want to make sure that we're deploying that in the most shareholder friendly and accretive manner possible. So, we'll be looking to give you guy’s additional color on that point as we move forward.
Jason Seidl: That makes sense, Jason. Well, listen that's all from me. Nice results and it's also good to see the market recognizing nice results. Take care, gentlemen. Appreciate the time.
Jonathan Shepko: Thanks, Jason.
Jason Bates: Thanks, Jason.
Operator: We have our next question coming from the line of Bert Subin, with Stifel. Your line is open.
Bert Subin: Hey, good morning. Congrats on the quarter and congratulations, Jonathan.
Jonathan Shepko: Thank you.
Jason Bates: Thank you. Appreciate it. 
Bert Subin: Can you provide us, I mean, you guys went through this a bit in your prepared remarks, but can you provide an update on where you are from an operational standpoint, more how far along you are and sort of what we should expect from integration of operations, technology investments and sort of ultimately when you think about resuming M&A? Are we in middle endings there, early innings, are we getting closer to the later innings? Any color would be helpful. Thank you.
Jonathan Shepko: Yes, sure. I'll take that let Jason chime in with any additional comments. So, on the M&A side, we're actively, I think we mentioned this on the last call, we're actively looking at M&A opportunities, we've actually entered into a handful of non-binding LOIs and we're very close on one particular acquisition, but ultimately didn't think it was in the best interest of the shareholders to move forward on that acquisition. As we've talked about, we've employed a lot of additional rigor in our evaluation. We're looking at acquisition opportunities from every different angle, from strategic considerations to tactical considerations, looking at really the full cycle value proposition of those targets. So, we're being very disciplined, very thoughtful not trying to rush the acquisition opportunity, not – the current kind of market environment and kind of valuation complex, notwithstanding. So, it's definitely something we're open to, we're prepared to do it. We have a handful of OpCos, particularly within our OpCo stable that have the depth and have the capacity to absorb the right target. So that's ongoing. From a kind of integration standpoint, not really prepared to share too much at this time on that. I think that we've done a lot of work and continue to do a lot of work. I think when you think about integrations, it's nothing that we're particularly going to rush to accomplish. The integrations of a year and a half or two ago were very different than the integrations that we want to make over the next 12 to 18 months. We want these to be very thoughtful, very surgical type integrations where we're taking into account culture, operating models, customer composition, capabilities. So really considering the full picture as we think about those, we've got a lot of great teams. So, it's thinking about how to move the pieces on the game table around to optimize the offering for our stakeholders. I think if you think about integrations, they are probably not a 2021 event. They're likely more of a 2022 type event. We're going to lead though with systems. Systems are really the fulcrum here for us. Better systems are going to help provide some of the topline opportunities we mentioned. And they are going to really be the, again, the fulcrum for better execution, whether it's on the M&A front, whether it's on the OpCo integration front, we've got to have the systems in place to better facilitate some of those movements.
Jason Bates: Yes, I don't have too much to add there. I think you summarized it really well. Just that hopefully the thing that you kind of noted took away from his comments in and around M&A is that there is going to be a very disciplined and tactically strategic approach to M&A. It's not just going to be a grow for the sake of growing type strategy, as much as it is what aligns with our stated strategy as a team. And then once we get into things, as he alluded to listen, we're not afraid to pull back and say, no, this isn't what we thought it was. Or there is data here that makes changes the thesis and means that we need to kind of back up and push pause or even push cancel. And we've already demonstrated that discipline. I'm going again, that's not something the world sees. But we want to make sure you guys understand that that’s how this team is approaching those types of things. And then with regard to kind of where we go from here, I just want to echo again what Jonathan said, I think, there is a lot of time and energy and horsepower that's being applied to making sure that we're making the right strategic decisions for this organization long-term and that there's going to be systems that are going to play a critical part of that. And we look forward to sharing more as we continue to move down that path here over the coming months and quarters.
Bert Subin: Yes, that's great. I appreciate all the color there. Maybe just as a follow-up, look great second quarter results. Just trying to figure out sort of how you guys think we should interpret this, is it operational challenges are starting to reverse and the business is becoming more sustainably profitable, or is it just a function really tied by market, unusually high rates on specialized and flatbed and sort of leading to a really good 2Q maybe slightly softer 2H? Any thoughts there will be very helpful. Thank you.
Jason Bates: Yes. So, I'll start and then I'll let Jonathan chime in. I think it's going to be kind of somewhere in between those two things. What I don't want anyone to walk away from feeling is that we get kind of locked into this quarter because that's definitely not what happened, right. There has been a lot of work that's been going on behind the scenes for the last 18 to 24 months. Heavy lifting by lots of people, tough decisions, integrations, fleet downsizing, conversations with customers that that has really kind of been masked by a lot of other things that were going on in the world. And I think that kind of all came together and really started manifesting itself. Candidly, in the first quarter and second quarter, you started seeing that. There's no question that there is a supply demand imbalance out there in the market. But that doesn't look to be dissipating as Jonathan touched on in his prepared remarks in at least in our markets that we service anytime soon. And to the point that Jason Seidl brought up, if this infrastructure bill comes down the pipeline, that's only going to further drive length to the tail on that. And so, I think it's combination of the two things. I think that the key point we want to drive home is that our organization and I've touched on this on two or three calls, and so if you'll indulge me hitting it one more time, one of the things I love about Daseke is our ability to flex as an organization. We have a variety of different operating companies that are led by unbelievably, talented and informed operators, who can flex up and flex down when we need to, into different markets. And we've demonstrated that over the last, six, seven quarters now and expect to continue to do so as we move forward.
Jonathan Shepko: Yes, I’ll add a little bit to that. I mean, again, Jason pointed out it's no secret. I mean, it's a good rate environment, right? But we executed, I mean, revenue on a consolidated basis was up 18%; adjusted EBITDA was up 57%. We see the trucks and we control variable costs. It's also, I think, we mentioned in the script, but it's also, I think, important to call out a bit of a headwind going into this year, relative to last year. We did rationalize our fleet down 10% or so. So, if you look at performance, we were able to greatly improve asset utilization, there's great quarter, great conversion topline. Our [indiscernible] did a great job recruiting or training drivers, see the truck percentage was flat year-over-year. And I think that's important to point out, particularly, given what was going on last quarter at this time, or you probably weren't having a lot of drivers looking around for different opportunities with the COVID kind of living in the backdrop. But we were able to improve kind of miles per truck per day, focused on moderating deadhead out of miles. So great execution all around. Also, we touched a little bit on this with Jason, but brokerage, some early inning success with brokerage. So again, I've got to get lots of credit where lots of credits do or our OpCos and our drivers did a phenomenal job.
Bert Subin: So maybe final question from me and just sort of along those lines of what you were just speaking about. Your owner-operated truck mix is, I think, increased every quarter since the first quarter of last year. Now you are at sort of like a 44% level. Is that increasing because organic growth is getting tougher? And do you think that that continues to increase from here? Thanks again for all the time.
Jonathan Shepko: Yes, no, I'm happy to touch on that. So again, getting back to the differentiating strategies across our OpCo stable, we have different operating companies that focus and specialize on kind of different driver relationship. So, some are much more lease purchase and owner-operator-centric and others are more company-centric. We have seen a lot of opportunities to grow in our lease-purchase and owner-operator environment has been strong. And there's no question that the rising rate environment has helped fuel that. I mean, keep in mind a lot of the independent contractors typically have compensations that are more aligned on a percentage of pace. And so, so that becomes an attractive thesis for us in types of rising markets. But also it's kind of the evolution of a driver lifecycle to become an lease-purchase and eventually an independent contractors, kind of what those guys aspire to get to in many cases. And then there's some that just they're happy being company drivers and they do a really good job at it and they want to do it forever. So I think there's a variety of things that play there, but hopefully that helps shed a little bit of light on kind of what we've been doing behind the scenes and why we've seen some of that migration. I don't know but I would characterize it as a – we aren't seeing an interest in company driver opportunities. But there's no question that drivers are going to seek out the opportunities that are going to be the most advantageous for them. And so we have seen that evolution over the last 12 months or so.
Unidentified Analyst: Very helpful. Thank you.
Operator: Our next question comes from the line of Ryan Sigdahl with Craig-Hallum Capital. Your line is open.
Ryan Sigdahl: Good morning guys. Congrats on the strong results like everyone else, and to you Jonathan.
Jonathan Shepko: That's, Ryan.
Ryan Sigdahl: So you've got very detailed commentary, I appreciate that on the current [indiscernible] strategy here. I just one for me in one follow-up, but you guys have talked about a 90% or target, you were at 88% this quarter certainly sounds from the commentary some companies specific as well as some industry tailwinds. But is that 90% still the right long-term expectation here? Or have you guys identified kind of further cost savings, et cetera, that that potentially could be better than that?
Jason Bates: Yes. No, good question. I was actually joking with Jonathan, that, that question was going to come. I think the – when we were thinking about that 90 OR [ph], it was more on a full-year basis, through the peaks and the valleys. So as I know, but I'll reiterate when you think about our earnings cadence as an organization, typically your second and third quarters are going to be your very, very strong outperforming quarters and your first and fourth quarters just due to the seasonality of traditional flatbed and open-deck are going to be slower. And so in a perfect world, we'd love to see a much smoother earnings cadence, and if some of our operating companies, we have that but others are more exposed to that kind of seasonal volatility. And so while we're super pleased with the performance of the team in getting that 88 OR, we're also realistic about kind of the seasonal adjustments that need to be taken into consideration. I think, listen, we sent an 90 OR target, it was like, oh, it was almost a year-and-a-half ago. And at the time we were bumping up on 100, right, high 90s. There has been a very impressive flow-through on the traction of our business integration and business improvement initiatives, combined with aligning with a very constrained supply demand environment, which helped as well. We want to make sure that we're able to continue to deliver a 90 or sub-90 operative ratio target through the cycles. So not just through the annual cycles, but also through the broader economic cycles. We don't want to be an 88 OR when – when the market's humming that everything is great. And then at 95, when things slow down, we want to be able to be kind of low – high '80s in the slower times and maybe lower to mid-'80s in the really, really high times. But, but those things take time and all the stuff that Jonathan alluded to about all of our strategic initiatives and how we're going to tactically approach them, each one of those things is going to help chip away, 25 basis points here, 50 basis points there, so that we can more consistently deliver that kind of performance longer term. So hopefully that helps Jonathan, anything you would add to that?
Jonathan Shepko: No. Look, I think Jason; I think Jason already said everything needed to be said. I think it's a normalized through the cycle type objective. I still think it's going to be kind of a couple of year – couple of year target. And I think it, the history of this, this new team, the last four or five quarters has been to kind of beat expectations. So I'd hope that – I hope that over time as we continue to tap the OpCo talent we have as we continue to kind of all harmonizes a team, that we'll be able to continue to surprise the market.
Ryan Sigdahl: Yes. Helpful guys. And then just on kind of the strategic expansion and getting into Jason verticals mentioned pharma, et cetera. Can any of that be done with the organic business and business units that you have, or is most of that acquiring other kind of experts in that area to get in there? And then secondly, on that, what type of multiples are you seeing in the market today from an M&A standpoint?
Jonathan Shepko: Yes. So I think the first part, we've absolutely, and look at as we – as we will always do, we'll look at kind of build versus buy. So we looked into these new markets, or we're going to do the usual type of analysis that doesn't make sense to you to pay a market premium, to acquire a platform that gets us into a new vertical or does it make sense just to build out these capabilities internal and fortunately a lot of the end markets that we're looking at today, we have very large, very well established blue chip customers that are already playing in that space and already offer a path to going into those market verticals. And in some cases have already asked us to consider working with them to develop capabilities in those in market. So it's going to be – we're going to, again put in the right – the right kind of analysis, the right kind of thoughts behind each of those opportunities. And we'll kind of – we'll kind of look at it as they come. We do as I mission on the call, we do have – you mentioned pharma life science, we do have reefer capabilities today. So it's – and if we wanted to do that, we certainly have a few customers, we could very easily use to leg into that space. So we're looking at all those things currently. We are as you pointed out; we are looking from an M&A standpoint. We are looking at not only horizontal integration, but vertical integration opportunities. So how, again, this is about providing – providing our customers with more standard capabilities and better scale. So if, as we find opportunities to integrate horizontally, to integrate vertically, we'll love to do that. We're also testing opportunities to fund some of those initiatives, whether it's strategically placed yards, building out certain pre-transport capabilities in house at the request of certain customers, really to spend some capital doing those things, again about getting closer to the customers. So we're being thoughtful and diligent all those – and all those opportunities.
Jason Bates: Yes. The only thing I would add is the second part of your question there about the multiples. It really does depend on what you're looking at, right. If you're looking at a more traditional flatbed decently run organization, you're going to see multiples that are going to be high-4s, low-5s. If you're looking at something that's much more asset light, or maybe more specialized in nature, you could see those multiples moving higher and I'll just be frank, some of the multiples we've seen out there kind of are head scratchers for us. We have hard time figuring out what the exit – the ultimate long-term exit strategy is on some of those things. And so, listen, we're not – we're not going to go out there and get into bidding wars, and run up multiples on things. We're going to be very methodical and disciplined about how we approach this.
Ryan Sigdahl: Helpful guys. Thanks. Good luck.
Jason Bates: Yes. Appreciate it.
Operator: We have our next question coming from the line of Greg Gibas with Northland Securities. Your line is open.
Greg Gibas: Hey guys, good morning, and congratulations, Jonathan, and congrats to all of the strong results too. Sorry if I missed this, but wondered if you commented on whether you're expecting traditional seasonality or cadence in the back half of this year?
Jonathan Shepko: Yes. I didn't directly address it, but thank you for bringing it up. I do think that based on what we know today, we would assume that or we would hope that the third quarter is kind of, I don't want to say directly in line with the second quarter, but more seasonally in line with what we saw in the second quarter. And then we would expect a little bit of a slowdown as you go into the tougher weather season and end of the year and holidays and things like that. So yes, I would expect a little bit – I don't want to – I don't want to necessarily guide you to a perfect mirror or what we saw in Q1 and Q2, but maybe something more directionally that way.
Greg Gibas: Okay. Yes, that's helpful. And then I could follow-up on the end markets too. You mentioned construction and manufacturing, is there any other maybe call-outs or markets that stood out to you either positively or negatively, or whether you expect anything regarding positively performing end markets that continue to trend the way they are right now and maybe any comments on geographical trends you're seeing too.
Jason Bates: Yes. Yes. So you're right. I mean, construction has been strong, steel has been strong, high security cargo is one that we talked about a little bit in the past, but we've seen really, really strong performance from our operating companies that participate in that vertical. Commercial flat glass, just glass in general has been pretty strong as well. So again, hopefully and I kind of rattled through agriculture has been pretty strong. As I kind of rattled through these, it helps you appreciate wow, the diversity of kind of the end markets that we service. The flip side of that is, and no surprise here, wind energy it has been – I don't want to say it's bad, right, it's just last year was so good. And people forget about that, that it's kind of returned to a more normal cadence, right. So on a year-over-year basis when you look at that from a comp perspective, it's down. And then while it's slowly improving; aerospace is still one of those end market vertical that has not quite rebounded like some of the other industrials that we touched on. So hopefully that gives a little color on kind of the end-market verticals. And then with regard to geographic, I don't know that I would necessarily highlight any one area of the country that's been stronger than another given that we kind of service the entire country and are moving freight all over the place. There's not one that I would necessarily highlight or call out as being abnormally strong or weak at least from where we stand today. And Jonathan, anything you'd add to that?
Jonathan Shepko: No. I agree.
Greg Gibas: Great. Yes. That's really helpful, Jason. And I was going to ask kind of about your new markets or strategic alternatives, but I think you've touched on that quite a bit. So I can take that offline and I get the last one from me regarding driver recruitment retention, and then you mentioned the elevated insurance costs could be headwinds again. Just wondering if you could maybe talk about the impact that you're seeing year-over-year or try to quantify that in any way?
Jason Bates: Yes. So driver recruitment retention as we said in kind of our prepared remarks, while there's no question that it's something that we need to keep our eyes on and watch, I'm knocking on wood as we're talking, right? Like our team has done a really good job in that regard. I mean, I've got a lot of close acquaintances and friends in the 53-foot drive-in space who are having, I think a little bit harder time there than what we've been having. Again, I don't want to sweep it under the rug and say that we're not worried about driver recruitment and retention, but I do want to say that when you compare us to kind of industry averages, we are significantly outperforming in that arena. And so, again it's something you always have to keep your eyes on and be mindful of and make sure you're taking care of your drivers, you're getting the miles, you're getting them paid, you get them home, and that's something we're not going to stop focusing on, but like I said, knock on wood, we've seen some pretty strong performance from our teams at attracting and retaining drivers. Jonathan alluded the fact that our unseeded truck percentage is relatively flat year-over-year. And I don't know that there are many people in the industry that can say that right now. And that's coming off of what was an unusually low turnover environment in Q2 of last year due to COVID as Jonathan reference. So the team is really executing at a high level and we couldn't be more proud of that focus on that front. On the insurance side, we went down the path as we've been talking about of entry – creating a risk retention group and kind of moving to environment where we are focusing more on controlling our own destiny with regard to kind of insurance. We still it's early days in that, but the insurance markets and you're probably hearing this from everyone the premiums in the excess markets are up substantially and have been two or three years in a row. And so that's something we just need to keep watching. We feel pretty good about the strategy that we have in place and the team's ability to continue to execute on that front as evidenced by the performance that we saw this particular quarter in that line item. But it's one that we've got to continue to keep our eyes on.
Greg Gibas: Great. Appreciate the color, Jason. Thanks guys.
Jason Bates: Yes. My pleasure.
Operator: We have our next question coming from the line of Barry Haimes with Sage Asset Management. Your line is open.
Barry Haimes: Thanks very much. And again, my congrats on the quarter and to Jonathan. Jason, first question on CapEx, understanding that you didn't want to update the old number, but could you just remind us what the old number was? So the total equipment precious number, so I'm looking for the cash plus financed, and then what your old assumption was on the equipment sales? That's first question. Thanks.
Jason Bates: Yes. So we in the previous guide we had given was a $100 million to $110 million for net CapEx even at a proceeds. So that factored into that figure and then net of financing or kind of cash CapEx. The guide we had given was kind of $35 million to $45 million. So those were the previous numbers we had given. I, again, we have exceed – we are with the 20% raise on the EBITDA guide combined with a better than anticipated used truck, and again, used equipment markets were worse. We would expect to commensurate effect to kind of the overall cash flow generating capabilities. But if you're just looking at the CapEx side of the equation, it's going to be lower. It's – I would say it's going to be millions of dollars lower. I don't know that I would say it's going to be tens of millions of dollars based on what I know today, but again, we still have five months left in a used equipment environment, that's pretty difficult to project right now.
Barry Haimes: Got it. Thanks. And then my second question is, can you get us some feel for contract pricing? So maybe in the second quarter, those contracts that came up, how much prices are going up or any kind of a leading edge number if somebody walks in today. So any feel for that? Thanks.
Jason Bates: Yes. So our business is a little different than kind of the drive-in guys, in that respect I would tell you that if you look at some of the kind of broader industry data, that's out there you know, they're kind of citing contract rates to be, and this is looking out into 2022, right contract rates to continue to be in that 5-plus percent type environment. Each customer is unique for us. There are going to be some scenarios where we're going to take smaller rate increases, because maybe they gave us a lot of additional business or higher rates in the previous year. And so it is unique the way we think about it, and then there's going to be others were given the supply demand environment or the specialized nature of the business, or the difficult driver environment for that particular specialized market, we may be seeing much higher increases. And so, again, I know it's not a direct answer to the question that you're looking for there, but hopefully that kind of more industry outlook can kind of help you from a modeling perspective and kind of how we think about it going forward into 2022. But that's kind of where we're at today with regard to rates. Jonathan, anything you would add. No, okay.
Barry Haimes: And then just my last question, I appreciate the time is on the asset light part of the business, I know historically that was used as just sort of an augmentation to capacity and you would often give customers that extra capacity at, agreed on contract rates. And of course in a market that's a tight up market that can work to your disadvantage. So as you're rethinking, the whole asset light part of the business, and I'm just kind of curious how you are thinking sort of contract versus spot or any other color in terms of how you think you want that to work going forward? Thanks.
Jason Bates: Yes. Berry, so I too. When we talk about the asset, and first of all, and I don't think you're saying this, but I want to make sure that it's clear to everyone; we're not advocating a big shift asset wise. We're still going to be – we're still going to be asset heavy, asset right with [indiscernible], I think is what we like to say we are. In terms of thinking about the build-out, I think, I think what you have is, you have a number of OpCos to your point who – who think about brokerage is kind of that additional capacity outlet. And so the relationships they have with the customers, the loads that they go after when they're responding to RFPs or RFQs from their customers, are based on their capacity. And if for whatever [indiscernible], they've got network constraints because of how they're deploying their trucks in a particular day, in a particular week, they'll go out – they'll go out into the market and look for a third-party carrier to kind of pass those loads off to. That's a very different approach than going out to the market and trying to get 110%, 105%, 115% of your asset base capacity with the objective of really taking advantage of the third party carrier network that we have. And so it's - it'll effectively function the same way where in softer freight environments, we're going to take those extra loads of extra relationships, what the additional capacity. And when the market contracts, instead of 115%, 120% of type access, it moderates to 80%, 85%, we're going to take all those loads and put them on our trucks. But then in the up cycles, to your point, we really want to be able to flex and take advantage of the relationships and the shipper relationships that we have and do a better job of that. And going look, instead of – instead of doing out for 90%, 90%, 95% capacity to make sure that we can take these on our company trucks, we're going to flex it. We're going to flex to 115%, 120%. So it's really using asset light as a lever to optimize profitability across market cycles.
Barry Haimes: Okay. Thanks very much. Appreciate the color.
Jason Bates: Thank you, Barry.
Operator: Thank you. There are no further questions at this time. I will now turn the call back over to the presenters for any closing comments.
Jonathan Shepko: Thanks again, everyone for your time today. We have the right team, the right strategy and the right plan to complete our transformation and pivot to driving long-term sustainable growth and value for all of our stakeholders. I'm excited about the opportunity I have to continue to lead this great team and look forward to updating you all on our progress. Thank you again for your continued interest in Daseke, and have a great day.
Jason Bates: Thanks everyone.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.